Operator: Good afternoon, ladies and gentlemen and welcome to the Dream Unlimited Corp Second Quarter 2017 Conference Call for Tuesday, August 15, 2017. During this call, management of Dream Unlimited Corp may make statements containing forward-looking information within the meaning of applicable securities legislation. Forward-looking information is based on a number of assumptions and is subject to a number of risks and uncertainties, many of which are beyond Dream Unlimited Corp’s control that could cause actual results to differ materially from those that are disclosed in or implied by such forward-looking information. Additional information about these assumptions and risks and uncertainties is contained in Dream Unlimited Corp’s filings with securities regulators, including its latest Annual Information Form and MD&A. These filings are also available on Dream Unlimited Corp’s website at www.dream.ca. Later in the presentation, we will have a question-and-answer session. [Operator Instructions] Your host for today will be Mr. Michael Cooper, CRO of Dream Unlimited Corp. Mr. Cooper, please go ahead.
Michael Cooper: Thank you. Good afternoon and welcome to our second quarter conference call. Before we start, I would like to take a minute to recognize Tom Schwartz. It’s terribly sad to hear of his passing. He was one of the early leaders in this industry. He built CAPREIT with his team from nothing to a leading company in the industry. He expanded his business into a new REIT in Ireland and more recently CAPREIT into the Netherlands. He has been a very good manager and quite imaginative with his business. Much more than that, I have had the pleasure knowing Tom for the last 20 years and spending time with him frequently. He always was interested in everyone, had good things to say about everyone and I think he cared deeply about all of us. He has been a gentleman and a professional, our industry will miss him and I will miss him. Today, I am with the Chief Financial Officer and newly appointed Executive Vice President, Pauline Alimchandani. Pauline will provide you with an update on the business and then I would like to provide some comments on our strategy and to context as to how I see the business. Pauline?
Pauline Alimchandani: Thank you, Michael and good afternoon. Despite generating earnings per share of only $0.02 in the second quarter, there were many notable accomplishments during and subsequent to quarter end with respect to approvals both in Toronto and Western Canada. Growth of our asset management business through Dream Global REIT and sales and our sales launches that feature condominium projects. As was expected, we generated very little income in the second quarter as a result of low levels of sales and occupancy volumes in Orlando condominium segment. However, we are confident that we are on track to deliver solid financial results in 2017. In terms of her outlook for this year, we expect to achieve approximately 950 lot sales, 33 acre sales, 350 housing occupancies and 50 condominium unit occupancies which compares to only 158 lot sales, 77 housing occupancies and two condo unit occupancies achieved year-to-date. Most of our third and fourth quarter expected sales are already committed. Despite lower than average lot and condo sales in ‘17 relative to historical years, we expect to generate net income before taxes of approximately $5 million this year based on these metrics and our reoccurring income sources which is still a typical year profitability considering the company’s historical average performance over the last 10 years. We anticipate our lot sales and condominium volumes to increase further in future years as we are currently in the planning stages to start developing new master-planned communities in Western Canada and several large residential mix use development projects in Toronto and Ottawa. We are pleased in our growth in recurring income sources. In the 6 months ended June 30, recurring income from asset management or equity investments in the publicly listed funds and our investment in recreational property was $36 million, up 20% from the comparative prior year period. In the second quarter, the overall corporate structure of the company was also simplified with the elimination of the non-controlling interest. As a result of the share exchange transaction which occurred on May 19, 2017 which is fully described in our MD&A and financial statements as of this date Dream effectively owns 100% of Dream Asset Management Corp. Accordingly, non-controlling interest amount was eliminated on our balance sheet and within our financial statements. Transaction was reflected through a decrease in retained earnings in order to eliminate the existing non-controlling interest amounts on the balance sheet and recognize the subordinate voting shares that were issued at the closing price on May 19th. Despite all the puts and takes within our statement of changes in equity, Dream’s total equity remains unaffected by the transaction. Our basic share count increased by 31.5 million shares as a result of the transaction, while our fully diluted share count was not impacted. I will now briefly sum up our Q2 results at a high level. Our land and housing divisions together generated negative $3.2 million of margin. Excluding the sale of four acres to our Dream Wilson Brighton retail marketplace partnership in the prior year, our net margin however would have increased $0.4 million relative to ‘16 with the first half in both years being low volume periods. We generated nominal gross margin from our condo division in Q2 as a result of minimal inventory being available for occupancy this period. Net margin of negative $1.1 million was incurred in the quarter as a result of fixed overheads to run the division. Our asset management division produced $9.3 million of revenue and $7.1 million of margin in Q2 which was in line with our expectations. Results are not directly comparable with the prior year as $20.8 million of fees were earned last year with relation to the completion of certain development milestones which can fluctuate significantly from period to period. We have recognized $3.7 million of income from the distributions from the REIT in the second quarter. This excluded $1.4 million of distributions received on Dream Alternatives which is treated as an equity accounted investment. In terms of an overall year-to-date overview net margin from our land division has been relatively flat year-to-date, down from $23.6 million in the prior year. In the first half of this year we have sold 158 lots, which is up from 94 lots in the prior year. However, we have not realized any acre sales versus 176 undeveloped acre sales in the prior year which generated margin of $26.8 million. Excluding the prior year undeveloped acre sales, our results were relatively stable period over period. We continued to be on track to attain 950 lot sales and 33 acre sales in 2017 with backlog of 680 lots and 26 acres either sold or committed as of today in addition to the sales that have already been realized year-to-date. Year-to-date, the housing division has operated at breakeven as we have now moved through the majority of our older inventory and are bringing new products to market. We are realizing 14% gross margins on our new housing product which has been designed and developed in line with our revised operating model. We expect to earn a positive margin in both the third and fourth quarters of this year as our volumes increase meaningfully in the latter half of 2017, which will also include the delivery of our first ever affordable housing project consisting of 76 units in Regina. Net margin from the condo division including all or equity accounted investments was negative $3.6 million in the first half of ‘17 versus positive $21.8 million in the prior year, although again results are not directly comparable as there have been no projects in occupancy during the period versus our Canary project being in occupancy last year. Although the year-to-date results may appear negative due to the lack of occupancy activity, results are in line with our expectations given the availability that we have. As of June 30, our condominium project consisted of 1,362 units, 544 at Dream share, of which 65% were in construction and 30% were in preconstruction of these 93% are sold out to-date. The Southwood is 108 unit project of which we own 50% which is the only project expected to occupy this year and this project is currently 96% sold out. Through projects we directly invest or manage, we currently have a pipeline of approximately 8,300 residential units in our inventory in our pipeline through the GTA in Ottawa. This quarter we have enhanced our disclosures in our MD&A to provide further details into the condo mix used pipeline that our development team has been actively working on. Over the last year, we have increased our investments in Toronto namely with the acquisition of Lakeshore East and Port Credit together with Dream Alternatives as our partner. Dream Office REIT is also expected to become more limited development with the irreplaceable core locations in Downtown Toronto in which we have increased our equity ownership interest to over 10% in the REIT. With our existing investments in the Distillery, Canary and other Toronto partnership projects, we now have a sizable pipeline of projects. We have also commenced infrastructure work within our Zibi project in Ottawa which will comprise another 2,000 units plus. We have a strong team to support our urban development initiatives and community building which will be led by Dan Marinovic, our Chief Development Officer. In our retail division we continued to make progress on our active development projects in Western Canada. At the end of the quarter we had approximately 0.5 million square feet of active projects under construction with committed leases of approximately 70% and a weighted average lease term of over 14 years. We expect to earn a development yield of approximately 7.5% on these projects based on the estimated stabilized net operating income at completion and the total estimated cost of development including land and excluding any rental revenue earned during the development phase. As of the end of the quarter Dream’s active retail projects under construction were recorded on our balance sheet at $99.7 million with our estimated value based on the expected completion dates in 2018 to 2020 at $163.4 million at our share using cap rates in the range of 6% and 6.25% which we believe are conservative. In terms of notable tendencies in July 2017, Save-On-Foods opened their 34,000 square foot store in our South Kensington development. The first location for the growth there Our South Kensington retail development which comprises over 72,000 square feet upon completion has committed leases for approximately 89% of the GLA and is expected to be completed in 2018. With respect to asset management, total fees from asset management were $20.5 million year-to-date, down from $35 million in the prior year. As I previously mentioned the decrease over prior year was due to the recognition of $20.8 million of development management fees recognized in ‘16 which were not recurring to the same magnitude that year. Subsequent to quarter end, Dream Global successfully closed on $900 million portfolio of 135 office and light industrial properties located in the Netherlands alongside an equity offering of $300 million and a European debt offering of $548 million. Including this transaction, our asset management platform in Germany, Austria and Belgium and the Netherlands now includes approximately $5 billion assets including those held by Dream Global REIT and our third-party institutional investors. We expect growth from our asset management business to be driven by increasing fees from Dream Global REIT and our development management business in general. We expect growth in these areas will more than offset any decreases in base fees from Dream Alternatives from a lower growth asset value due to recent income property sales and portfolio reposition activities within that trust. Our G&A was $6.2 million year-to-date, down from in the $8.5 million in the prior year. The year-over-year decrease was largely attributable to the operational enhancement program that was executed in October of 2016. In terms of other items in the second quarter we repurchased shares under our normal course issuer bid and reached our maximum buyback amount of 3.2 million shares. Year-to-date, we have utilized $22.2 million of capital to repurchase shares under the normal course issuer bid at an average price of $6.84 per share. Our liquidity position remained strong, as of the end of the quarter we had up to $102 million of undrawn credit availability on our operating line providing us with ample excess liquidity even before considering our unencumbered assets. At the end of the quarter our debt to total asset ratio with 33.6%, up slightly from 31.7% at December 31, but remains at conservative position. The total fair value of the units held by Dream in the publicly listed fund collectively Dream Global REIT and Dream Alternatives was $257 million [ph] representing approximately one-third of the company’s total market capital. Including Dream Global REIT deferred trust units our total investment in the publicly listed funds was almost $275 million, an increase from $180 million in the prior year both as a result of price appreciation and our increased equity investments in Dream Office REIT and Dream Alternatives year-over-year. As at August 11, we own 9.1 million units in Dream Office or 11% of the company, 7.7 million units in Dream Alternatives or 11% of the trust and 3 million units the Dream Global, approximately 2% of the units outstanding. Overall it’s been a productive six months for our business, our businesses in solid financial shape with many opportunities for growth. With that I will now turn the call back over to Michael.
Michael Cooper: Yes. Thank you, Pauline. We are always active that 2017 is turning out to be a more active year than many. Now we view our business consisting of development and recurring income. When we develop we can develop for sale, for just condominiums, lots and houses or we can develop to create income properties. So far we have generated income for retail properties both in our Western Canadian communities and our Toronto projects. We have recently commenced our first commercial building on our lands and we also completed construction leasing of our first rental building, the rental apartment happened to be in Saskatoon. We intend to grow both activities in our urban developments as well as in Toronto and Ottawa as more projects incorporate residential and commercial uses. In Toronto, we have more commercial opportunities in the distillery and for the first time, one of our business – one of our buildings will have a commercial use it as a retail would like to be office. In Ottawa, the project is expected at 1.2 million square feet of ops industrial when it’s built out. As you have seen from pension funds, private real estate operators and REITs, development is a major requirement to drive returns and have access to best-in-class properties. Dream has historically built $500 million per year developments and we have had a very successful couple of years out of the development performance. Our land developments are gaining market share. Our houses are producing higher margins. Our condominiums are more efficient and becoming more profitable. With the shift to include more development of income properties primarily to hold, we are creating excellent assets that have superior yields and have proven the overall quality of our business. Our recurring income is derived from our income properties which have grown to be about $250 million, but will be increasing rapidly. Our investments in units of the REITs and that, and the management contracts, which produced about $60 million a year in income, which we value over $600 million. Arapahoe Basin had a record year and has great prospects going forward as we expand the train by 35%. Our renewable power is very consistent and creates income every year. And in our recurring income, I would include the land and housing income from our large ongoing developments that produce cash every year. This income makes up our base business. In 2017, our REITs have generated a total return of about 18% compared to the total return on the index of about 3%. Our retail developments including the distillery are making more of a contribution to our yield and our developments are generating the returns we performed a number of years ago when we started. Our baseline in housing business has had margins compressed as volumes are down, letting to governments have increased and have been difficult to pass through the increased costs. So, we think we are below the long-term average of what the business has and will produce. So, overall, we believe that from our base business, we will see increasing earnings in a meaningful way going forward. Our business consists of our base business plus one-time events to happen all the time. I focus my attention on generating net asset value per share both immediately and over the longer term. I also focus on making sure we have adequate liquidity to manage through any economic challenge wherever they may come from. The best source of liquidity is profits and is mainly within this context of generating liquidity, better look at profits. I don’t look at profits as the metric to value the business, but free cash is very valuable. In the last 2 years, we had significant one-time events with the reorganization of the Dream office contract, the completion of the first phase of the Pan Am Games and the sales lands of the Province of Alberta for construction of the Ring Road. This year we are in the process of preparing many sites for future one-time gains, but due to general timing and the slowdown of Western Canada, we expect 2017 to be our trough earnings, because we have virtually no condominium closings or other special events and we are still experiencing housing starts in our markets are 60% below peak volumes. Even though housing starts haven’t increased in our markets, our lot sales in housing starts will increase substantially based on an increase in our market share. We have brought on the great neighborhood in Saskatoon, Vista Crossing in Crossfield, which is just above the Calgary and Eastbrook in Regina. Eastbrook is replacing the recently completed harbor landing and Brighton is replacing Stonebridge. So, we are going to just replace communities that are finishing. We are hopeful that we will be able to add Cooperstown in Regina next year, the long-awaited province in Calgary, [indiscernible] in Beaumont and the [indiscernible] Saskatoon in the next couple of years, which will all represent net additional activity. These new developments are expected to add significant profit to our base land and housing business. And if we start to see increases in housing starts and the prices in the cities we operate, we will have tremendous operating leverage. We have added substantial lands in Toronto last year and we have already sold out Block 16 to Canary Districts and we hope to have Block 12 ready to market later this year. We have also recently approved – recently received approval for the development of 890,000 square feet at the distillery district. We also manage investment to the alternative trusts and we have had excellent progress with 100% sales in two other projects in Downtown, Toronto. We are very pleased with the value creation and the development expertise continually being demonstrated by our development team. None of that development will add to our profit for the next 2 years, but they will add profits shortly thereafter Turning to our involvement in public entities, Dream Alternative trust lands holds income properties primarily for redevelopment has renewable power for development and yield and it’s a becoming a major investment in significant sites like the Imperial Oil site in Port Credit which has 73 acres on the water, the Victory Silos site on the water Downtown Toronto, 4011 Church [indiscernible]. We took over legacy portfolio which has taken 3 years to unwind. We expect in September to substantially repatriated all the capital and reinvested in most of it as two transactions are expected to close in September. In that respect all these assets performed as we had expected and the new investments have performed better than the old assets and better than our expectations. Other than the co-owned assets, office assets that required a significant amount of capital to slow occupancy loss and recently that have been old its share for a bit of a loss. But those assets were the most damaging. With a fresh start and an unlimited real estate mandate that provides us with a much bigger footprint for development. We own 11%. We generate management fees and our ownership has a yield, our relationship with that is very profitable and allows us to create more fantastic developments for the agreement on the balance sheet and liquidity. Over time we expect to own more of that. Dream Global had a breakthrough year as it has grown in two more countries in Europe, increased AFFO by 10%, completed its first unsecured debt issue, attracted equity and debt capital in Europe has grown its excellent management team and has reached critical mass as one of larger new engines in the regions since the global financial crisis. I believe that Dream Unlimited is in a position to continue to grow Dream Global moderately, but also to grow our management business in Europe for instance at a faster pace. At Dream Global and elsewhere we will continue to demonstrate our management abilities and grow our relationship with financial partners. The institutional business is a difficult business to enter so we expected to take a few years before we have a meaningful presence. Dream Office has undergone a complete makeover as we sold assets that we don’t believe are easy to keep bold or willfully that we can make better and concentrate our holding on assets that we believe will improve with time either from intensification, redevelopment or repositioning. Leases outstanding have decreased by 27% last year and Dream Unlimited and its affiliates control 13%. We believe that investing in Dream Office provides current yield and exceptional assets that are well positioned to become more valuable. Dream Industrial is a favorite sector and over the last six months we have made a push to bring everything Dream Unlimited can to help grow the business profitably. We have opt to sell the industrial buildings, we are building in our existing communities when finished, we have 130,000 square feet of approved projects and we commenced construction of the first 82,000. We hope that within 18 months we will have some properties available for the industrial REIT. We also made progress with CP on our joint venture and have a business plan approved for a 5.5 acre site in Vancouver. And as we progress we hope to be in a position to offer our equity interest to the industrial REIT. We are also looking at expansion in the U.S. and acquisitions in Canada, finance that with capital recycling. We believe that the REIT has performed well and has good assets and good prospects and we would like to see the business to grow profitably again. We also expect to continue to reduce the shares outstanding of Dream Unlimited, effectively want to run our Western Canadian land and housing business and our development business so that we can reinvest the current capital to continue to grow. Basically we believe the capital that we have invested in land and housing is sufficient to fund the business and we do not require more capital for these activities. As profits are available, we want to invest those in our income properties that which we would like to hold longer term. Invest in units of that and the units of Dream Office, buyback stock in Dream Unlimited and reduce our debt to gross book value. I would like to spend a minute put into context our activities and how I think we create value. Probably just planning on $85 million of pretax earnings or $63 million after-tax, the income from recurring sources and represents the baseline of business. With this analysis, I will assume that we use 200,000 acres land creating this profit. The land is on our books at an average of about $50,000 per acre. When it is all approved, the market value of the land will increase. So for this purpose let’s assume after approval, the lands wroth $150,000 per acre. As a result of these 200 acres, $100,000 per acre relates to value that’s been created in prior periods do achieving zoning approvals. Based on $85 million of pretax, us using up 200 acres of land reflects $20 million of prior period value creation, so this year we expect to generate $65 million from activities in 2017 after accounting for land at fair value. In addition to the current income, we have added tremendous value that will be realized to the income statement in future dates and are reflected in our balance either. This year we have achieved approval for 150 acres Regina which adds value to that land. Beaumont added 371 acres just out of the Edmonton that we own and we expect that Beaumont municipal plan will be approved this year and then we can begin our application for local area structure plan. As a result of the annexation municipal plan our development timeline is fast approaching and becomes more certain add a substantial value to these lands. We have achieved approval at the distillery for 890,000 square feet, our share 445,000 square feet is book value $11 million and approved it was well over 60 million. We have also made gains with the value of our asset management business and added value through using up our entire normal course issuer bid. Isolate only the value creation of these five advanced adds $200 million the value of our business. Adding in the base income – profit made only the current year income that’s about $250 million of added value income on the company with the market cap of $800 million. In addition over the next 24 months we expect to make progress on the zoning of 650 acres in Providence, about 100 acres in the Willows which is a luxury golf development. The 1,050 acre home with suburban village in Saskatoon there is commercial sites out west the Imperial Oil site and complete infrastructure of at least one building at Zibi all of which will crystallize value. I only isolated five items that have added $200 million of value so far this year and it’s only August. We expect that more successes this year. In addition as I listed above we have items in the works they will add similar values for each of the next few years. We also simplified our organization structure and helped Dundee Corp to sell 15 million shares. We attracted great new institutions and have orders for twice the stock that was available for sale. The sale price of stock was above market and the stock has performed well since. Dream is up 8% this year against a broader market that was basically flat. However, based on what we have accomplished we have added value to the company well in excess of the increase in the stock price and I believe that we are trading at the biggest discount of our short history as a public company. We ultimately are able to recognize the sale of lots and houses that are in process. Investors will recognize the turnaround in Western Canada and particularly our increased market share. We also are thinking through how we can present our business in a simpler form and hope that today’s comments help as we get some of the things we are working on completed, we will focus our effort on investors making sure that we are on the radar and that we can show what happens to our business in a relatively short period of time. I am very pleased with the company today, notwithstanding what happened in Western Canada, business is more valuable than ever before. The hidden assets which drives our continued value creation is our management team. Our team of Pauline, Dan, Jason, Josh, Jane and many, many others are helping us run the business better than ever before. We will continue to generate value from our enormous existing asset base and we will continue to find exciting valuable new opportunities. We would be happy to answer your questions now.
Operator: [Operator Instructions] And we have a question from Dean Wilkinson with CIBC. You may begin.
Dean Wilkinson: Thanks. Good afternoon Michael, Pauline. You had a whole lot of activity in the quarter on stuff that’s behind the scenes that does create value as we go forward, but just turning to the lot sales that you have got booked, how should we expect that 6.80 to come in over the next two quarters?
Michael Cooper: It’s mostly the fourth quarter.
Dean Wilkinson: Mostly Q4, okay. And how is the pricing on that or the deals that you have outlined up compared to how you did in the quarter of the 116 per lot?
Michael Cooper: Revenue per lot?
Dean Wilkinson: Yes.
Michael Cooper: Yes. I am not sure on the mix, but I don’t take it out of line on a lot by lot basis like Saskatchewan lost will be the same and Regina lots will be the same but I don’t know the mix. But we view those numbers is probably realistic.
Pauline Alimchandani: 130 a lot is fine for an average.
Dean Wilkinson: 120 to 130, okay. So I guess is this, last year also we saw recite given then a recovery, is there a bit of a seasonality in giving some concessions for lot sales in Q2 or is it just more mix related?
Michael Cooper: No, no, let’s go through it a little bit slower. I think that basically the winters in Canada are harsh. And we don’t have a lot of time to build we are really back-loaded to the fourth quarter, because that’s where we get the asphalt down and have our approvals. So what you can see is in the first half of the year, we tend to get a lot of approvals than we do the work and then we don’t get the sales until the fourth quarter, a lot of the other sales that we get in the first and second quarters, but they are out of existing inventory. So I would say generally that is the pattern.
Dean Wilkinson: Okay.
Michael Cooper: Does that make sense?
Dean Wilkinson: Yes, absolutely. It totally does. Yes, yes. And Pauline for the acquisition fee that would be associated with the DRG activity in Q3, have you quantified that?
Michael Cooper: It’s $900 million times 0.035.
Dean Wilkinson: $900 million at 0.035, okay.
Pauline Alimchandani: They are into the – they did $1.2 billion of acquisitions this year. So, they are in that 0.5%.
Michael Cooper: Yes, it’s $4.4 million.
Dean Wilkinson: $4.4 million, okay. And will you be taking that in cash or units or is haven’t decided yet?
Michael Cooper: We already have a lot of units that are deferred and actually there is anything we agree with that I know of that allows us to take you to cash.
Dean Wilkinson: Okay, that will be cash. And does that cash component, Pauline, fall under the expectation you have for the $85 million pre-tax or would that be top of that?
Pauline Alimchandani: No, it’s included in that number.
Dean Wilkinson: That’s in that number. Okay, perfect. And then the last one for me just and I guess the sort of the selling costs around the land component through Q2 was obviously high, because there weren’t any of the transactions closing. Would it be fair to say that in Q3 and more correctly in Q4 that the margin contribution there is going to be sort of outsized, because you have effectively pre-funded a lot of the selling costs?
Michael Cooper: That’s a great question. We don’t look at it that way. We are more focused on what the gross margin is for the whole year and they were looking about 38%, but you are right, if we are looking at 38% for the whole year, then the second half of the year will be slightly higher.
Dean Wilkinson: Is going to be higher than that. Okay, so it just catches up over the whole time. Okay, that’s it. I will hand it back. Thanks.
Michael Cooper: Thanks a lot, Dean.
Operator: And our next question comes from Jeremy Klein with Investment Partners. You may begin.
Jeremy Klein: Good afternoon, everyone. Thanks for taking my call. I am just wondering about the income earned from contracts with public related funds it went up about 40% in 2017 versus ‘16, but the book value of those contracts hasn’t changed. I was wondering why that is?
Michael Cooper: The book value of the contract is based on purchase price paid for it and that’s just the alternative trust contract. The rest of them are on the books for zero. I am not familiar with why the income, but I guess we will probably beat the math what it should be, but I didn’t know that much of a difference.
Jeremy Klein: Yes, it’s $8.7 million in ‘16, $12.5 million 2017.
Pauline Alimchandani: So, we purchased additional units in Dream Office REIT, which would be opening to the investment income earned on that.
Jeremy Klein: Got it. Okay, thank you for that. That’s kind of what I thought, but I just wanted to confirm. And just one other question on the negative land margin, I mean, you sold almost 160 lots for about $20 million in revenue and the margins were still slightly negative. So, does that mean that you had about $20 million to fixed overhead costs during the first 6 months of the year?
Michael Cooper: That would include land cost as well. Sorry, we have $20 million of revenue, what that means is we would have original land cost, plus servicing, marketing, sales and G&A that is more than that, but one of the things I wouldn’t point out is with condos and with lands, we often have like cost for market and expense, when they need to get expensed and then we have an income in other period.
Pauline Alimchandani: Yes. So, our total fixed overhead and marketing costs for the first 6 months of the year would have been about $7.8 million.
Jeremy Klein: Okay, $7.8 million for those fixed overhead costs and what is the – what are the additional – what’s the gap between the $20 million and the $7.8 million, what are those other costs?
Pauline Alimchandani: Right. So, between revenue and gross margin is the actual cost of the land and between gross margin and net margin is all the fixed overhead and SG&A costs that we incur. So the overall net margin captures all our costs and the gross margin captures the direct costs which would be the land costs.
Jeremy Klein: Okay. Thank you very much for that.
Pauline Alimchandani: You’re welcome.
Operator: And our next question comes from Sam Damiani with TD Securities. You may begin.
Sam Damiani: Thanks. Good afternoon. Just as we look into 2018, I am wondering if you could just briefly go through the four key markets out West and give us your thoughts as to where the direction of lot sales could occur and maybe just where you think your market share is now and versus maybe 5 years ago?
Michael Cooper: Okay. Since asked [ph] our market share is I mean for 20 years has probably been averaging 50%, it’s got down to lower level maybe 5 years ago. This year I think we are well above it. And I think that’s going to continue because Brighton has been a tremendous success. In Regina, we are probably a little lower than average, but we got a lot more land coming on so we will get back up with a much bigger market share, probably by 2019 maybe in 2018, but we are going to end up with a lot happening in Regina. So I think our market share is going to increase there.
Sam Damiani: So is that because Eastbrook really kicks up by ‘19 or…?
Michael Cooper: No, the Eastbrook really replaces harbor landing. And we expect two start [indiscernible] down. When we do that we have two significant developments at once which we haven’t had for 10 years or 15 years.
Sam Damiani: That’s true, okay.
Michael Cooper: So what we are trying to get earlier was we have done a lot and got a lot of approvals that’s fantastic, but most of different places what we otherwise had and over the next 2 years we are adding at Edmonton, Calgary, Saskatoon and Regina. So we are going to have a lot more going on. For 2018, we expect to do – we haven’t done our full business plan, but we would expect to do better next year. Let’s say at this point, we are comfortable with what we have in the pipeline, we think it needs to be a couple of hundred higher – a couple of hundred watts higher.
Sam Damiani: Great. And does that include anything from Providence coming in 2018 or is that sort of…?
Michael Cooper: It’s aesthetic but Providence has been in the budget for next year for 15 years. And as everybody reads this time we mean it. There was a change in how the city is dealing with applications that went to count on July 31 and we are very excited about it. We have had a lot of reasons why were positive, but so we think it’s coming soon, if it doesn’t come, we actually have places we think we can make it up.
Sam Damiani: So 2018 for Providence very possible?
Michael Cooper: We believe at this time more than any time is the last 15 years. So this is our hard part about the business, but that is under construction 24 hours a day and cost very little for Calgary to the extent where we are, we are 15 years behind when it should have been developed. And there is a lot of momentum building.
Sam Damiani: I appreciate that. Just looking at on the condo side, a couple of questions on the distillery that approval obtained post quarter end, is that reflected in the table on Page 23 of the MD&A or should we add another 600 units to the story?
Pauline Alimchandani: No, it is reflected in that table.
Sam Damiani: Okay. Thank you. And then Zibi, the first two towers are something it looks like pretty well, I am wondering if you can just give us your thoughts as to the potential piece of future condo sales at that site?
Michael Cooper: It’s interesting, because there is a lot of other commercial opportunities. We are going through a major. We just had the construction loan approved that site is busy now, it’s going to get really busy. If you don’t mind Sam, I would really prefer to deal with that in the third quarter when we will have a lot more information.
Sam Damiani: I will make a note to ask that.
Michael Cooper: I will tell you by the way even though if you don’t ask.
Sam Damiani: Okay. And just on the earnings guidance that was helpful obviously, are you thinking any fair value gains in the later half of the year?
Pauline Alimchandani: Nothing significant.
Sam Damiani: Okay. Thanks. I will turn it back.
Michael Cooper: Thanks Sam.
Operator: And our next question comes from Mark Rothschild with Canaccord. You may begin.
Mark Rothschild: Thanks. Good afternoon. Can you give a more detail on any income or how much we should expect in the second of the year either from the body or the tail [ph] or from the condo project Southwood?
Michael Cooper: That’s great. I think the Broadview Hotel if I had to bet would be – it’s been open for three weeks. But if I had to bet on a number probably settle in and it will probably be about 900,000.
Mark Rothschild: Southwood is, what’s that number?
Michael Cooper: Southwood could be $5 million. But I will tell you one that may not have any numbers [indiscernible]. We have got it full up with storage. And we started to see in our income numbers some real value. And I think we will be looking at annualized rate of $1.5 million this year and probably $3.5 million next year.
Mark Rothschild: Well, which project is that, I am sorry?
Michael Cooper: [Indiscernible] is not a project, just a piece of land that we are getting with the city on.
Mark Rothschild: I am sorry, yes. I got that and then just on that I am not sure if you said how many lots you think you can sell in 2018 and what would be the annual pace that you would expect with that project?
Michael Cooper: We have actually – we think we are going to have approval in early 2018. But we are not looking to have any sales until 2019 we are probably looking at 200 a year.
Mark Rothschild: Okay. One thing you spoke about was earning more of some of the other listed companies that manages whether it’s that or Dream Office, can you maybe quantify how much you would like to invest in these companies over the next year and also talk a little bit about the share buyback of Dream Unlimited which I don’t know if there even is one outstanding right now, but you spoke about the shares never being cheaper so can you put that all in context?
Michael Cooper: So let me try with the NCID [ph]. We use it up in the May and we are not allowed to put it in place to get until I think September 23. When I change my units and my shares it’s change somewhat in low. So we don’t have a calculation yet from how much we will be able to buy, we should have that in the next few weeks and we got to get approved by the Toronto Stock Exchange. So we can’t buy anymore, we bought them as we are allowed and September 23 we will have a new one. I think we will be active over the year. I don’t know exactly how much but I think all else being equal probably the same amount we would like to buy next year, over the next 12 months. What I was saying was as we at Western Canada land and housing and other places we want to put it into buying back stock, investing in that in Dream Office. But I think we invested over $100 million in stock last year, I don’t it will be anywhere near as aggressive and may be $50 million, $50 million or $60 million in the next 12 months including Dream Unlimited buyback.
Mark Rothschild: And is there any consideration or other thoughts now on a dividend at Dream Unlimited?
Michael Cooper: I think with the stock where it is, that’s really not in the plans for a couple of years.
Mark Rothschild: Okay. And may be just lastly…
Michael Cooper: What I mean is I think we can do better either investing the money strategically where we think we are going to be generating value over the next 20 years or using it to buyback stock. I don’t see it being used to pay a dividend now.
Mark Rothschild: Okay, I understand. And then just lastly, you made a comment and maybe this was somewhat in-just I am not sure about what the guidance number that was the thing Pauline is planning, is that you are saying you think the numbers are aggressive, conservative or was that maybe just…?
Michael Cooper: Pauline says it’s solid so.
Mark Rothschild: So you are not going to answer the question?
Michael Cooper: I did I am 100% confident that’s it. It’s a 100%.
Pauline Alimchandani: 85 million is the number Mark.
Mark Rothschild: Thank you very much.
Michael Cooper: So I guess to clear Mark. I was referring to Pauline in that role in her elevated status back from maternity leave that she has got the pot.
Mark Rothschild: Okay, great. Thanks.
Pauline Alimchandani: Thank you.
Operator: And our next question comes from Brett Reiss with Janney Montgomery Scott. You may begin.
Brett Reiss: Hi Michael. Hi Pauline, could you just share with me your thoughts on the what is the supply side of the Toronto condo market look like to you over the next 2 years and are there any clouds that concern you and the same question on the demand side, what is the demand side look like and are there any metrics or clouds that concern you there?
Michael Cooper: Yes. I will give you the best we got. But it’s really hard on the supply side the rules are changing so much what we are seeing is approved density has gone up in value because people are concerned about getting approval. So I think that with all changes the governments are making they made some changes to the municipal laws, they are making some changes to planning lives. I think there is a concern that the supply may not be sufficient. So, I don’t think the issue is too much supply, I think the issue is it’s so hard to get approvals that if there could be more of a shortage that has been the last few years. The demand side is much harder to figure out, because what we are seeing is strong is getting an increasing percentage of immigrants, people need a place to live. The real demand for places to live is huge. Rents have gone up a lot. The issue that we struggle with is that interest rates are going up and what kind of shots could they be to defend. I don’t think the issue is supply. I think there is – if something were to happen, that’s not positive for condos, I think it’s on the demand side, not the supply side. And I would say that what we are seeing on condo launches as recently as last week or 3 weeks ago, the demand is quite good.
Brett Reiss: Right. And it’s modus of operation to mitigate risk that you don’t put shovel in the ground unless a great percentage of the units are presold?
Michael Cooper: Yes, like we launched the project this year, they are all 100% sold and I think one of the three projects and structure started.
Brett Reiss: Great.
Michael Cooper: And keep in mind, when a Canadian buys a condo, they have to sign agreements, put up deposits, they have to be approved by the bank everything single condo has to be approved. Our regulator changed the rules on mortgages 4 or 5 times plus that’s the CMHC, our insurance. The regulators have been pretty tough on the banks. It’s a very thorough process and people are personally liable when they sign. So I know in this day sometimes people can walk from a condo here a pre-sale has a lot of meaning.
Brett Reiss: Right, right. Now, the block of your stock that Dundee Corp sold a short while ago, has it surfaced publicly who the buyers of those blocks were?
Michael Cooper: No, it was – I mean, who it is, because I met with them, but it was long-term large institutions in Canada, but not a number over 10% so we don’t have that info.
Brett Reiss: Great, thank you very much for taking my questions and continue the good work.
Michael Cooper: Thanks, Brett. It’s been many years.
Brett Reiss: Yes, it has.
Operator: And our next question comes from Sam Damiani with TD Securities.
Sam Damiani: I am actually [indiscernible]. Just on the development side, you’ve got a new working relationship with Dream Industrial in a way on the development side. Can you be more specific in terms of industrial projects that are expected to be constructed in the next year or so that could be offered to that REIT?
Michael Cooper: Yes we have got some sites in Saskatoon, one in Harbor Landing, its right by the airport and it really reflects industrial. We started construction of the first 50,000 square feet. We got some leases in the place. And we also similarly in Saskatoon have a site just south of the airport. So, between the two of them is 130,000 square feet, of which some we have got leases starting, so hopefully within the next – hopefully in 2018 is that’s where REIT will have the option of buying something if they want to.
Sam Damiani: And did you mentioned earlier on the CP joint venture there is an industrial development in Vancouver that also could be offered to industrial?
Michael Cooper: Yes. What happened is we have got business plan approved for a 5.5 acre industrial site in the city of Vancouver and it’s still long process, but we would love to be able to offer that to Dream Industrial in the next year or 18 months.
Sam Damiani: Great, thank you.
Michael Cooper: Thanks.
Operator: And we have no further questions at this time. I will now turn the call over to Michael Cooper for closing remarks.
Michael Cooper: Thank you, operator. Thank you, everybody for your time and looking forward to providing further update in the third quarter. Thank you.